Operator: Good day, ladies and gentlemen. And welcome to the Fourth Quarter 2013 Hecla Mining Company Earnings Conference Call. My name is Denise, and I’ll be your operator for today. At this time, all participants are in listen-only mode. Later, we will conduct a question-and-answer session. (Operator Instructions) I would now like to turn the conference over to Mr. Mike Westerlund, Vice President in Investor Relations. Please proceed.
Mike Westerlund: Thank you, Operator. Welcome everyone and thank you for joining us for Hecla’s fourth quarter and yearend 2013 financial and operations results conference call. Our reserves and resources news release that was issued and the financial results news release that was issued this morning before market opened, along with today’s presentation are available on Hecla’s website. On today’s call we have Phil Baker, Hecla’s President and CEO; Jim Sabala, Senior Vice President and Chief Financial Officer; Larry Radford, Hecla’s Senior Vice President, Operations; and Dean McDonald, Senior Vice President, Exploration. Any forward-looking statements made today by the management team come under the Private Securities Litigation Reform Act and constitute forward-looking information under Canadian Securities Law as shown on slide 2. Such statements include projections and goals which we are likely to involve risks detailed in our Form 10-K and in the forward-looking disclaimer included in the earnings and exploration releases and at the beginning of the presentation. These risks could cause results to differ from those projected in the forward-looking statements. In addition, in our filings with the SEC, we are only allowed to disclose mineral deposits that we can economically and legally extract or produce. Investors are cautioned about our use of terms such as measured, indicated and inferred resources and we urge you to consider the disclosures that we make in our SEC filings. With that I will pass the call to Phil Baker.
Phil Baker: Okay, thanks Mike, hello, everyone. I’ll start with Slide 4, 2013 has been a transformational year for us making Hecla stronger, more diversified precious metals’ company. We’ve gone from one operating mine to three, from precious metal generating about two thirds of our revenue to three quarters, from revenues having single digit growth to double digit for silver and triple digit for gold; from eight exploration to 12 and from limited access to capital to an issuer in the U.S. bond market. So 2013 was a very big year for us. Clearly, a key goal for the year was to bring the Lucky Friday back into full production which we achieved in September. Getting the mine back to full production, development, production, backfill, all in sync and sustainable was not a trivial matter. Our team at the mine did a terrific job, that the mine now operating at historic levels of close to 900 tons a day. And is expected to produce 3 million ounces of silver in 2014. We wanted to acquire mines that have value and what we believe that the value proposition can be improved with our ownership and our acquisition of Aurizon in Casa Berardi gold mine does just that. Our increase in gold reserves by 190% to 2.1 million ounces is principally due to this acquisition as is our increase in gold production by 116% this year. Now once we acquired Casa, we set a gold of improving its performance and I am pleased to see the team there delivering an increasing production and short decrease in cost in fourth quarter which is only our second full quarter of ownership. And there is going to be some variability quarter-to-quarter, but we believe you will see a trend of better performance from the mine as Larry and his team focused on making improvements in recovery, dilution and development. We are working to these key parameters and see clear opportunities that we expect to be able to articulate in the next quarter or two. We remain very excited about the exploration potential at Casa as well. We are now getting to used repeated three quarter ounce plus drill results. And I can’t say enough about the performance of Greens Creek. For a second year in a row this mine carried almost all of our operating capital cost, the acquisition cost, financing and environment cost company wide. This did not happen by accident but because of the past years we have focused on improving the mines reliability and because of a great group of employees who not only increase silver production 16% for the year setting a record for the highest tonnage production since the mine started in 1989, but they did with the best safety records in Hecla’s operated at the mine. Both Larry and I will have more on Greens Creek later. This year’s 13% silver reserve growth or 20 million ounces gives Hecla the most silver reserves in its 122 year history. And that’s despite a 23% reduction in the assumed silver price to $20. In addition, our gold reserves are also the most in our history. By the way we used the same price assumptions for reserves and resources then I just wanted to point out that because not all companies are doing that. The levels of resources have held study despite the lower prices. And this is the eight straight year of increasing silver reserves and this accomplishment is particularly impressive we factor and help the reduction in metals prices is caused many companies to write down reserves and Dean will tell us more about this in a moment. Finally, Hecla, in issuing its first fixed rate eight year bond increases our financial flexibility by providing us with access to a market that is not open to all mining companies particularly at our yield and term, six and seven in eight years. Now we certainly help that the debt capital market is one that we can tap in the future as seasoned issuer. If we can do this then this really could be our biggest transformation as a company because it allows to grow while minimizing dilution. This long term low covenant debt is part of our strategy to have a significant degree of financial flexibility. And Jim is going to through the strategies of the component. Now let’s look at Slide 5. So what is Hecla look like in 2014? Well, we expect our production and expenditures to be as follows. Silver production at 9.5 to 10 million ounces at a cash cost after byproduct credits per silver ounce of $7. By this we expect 6.5 -7 million ounces at Greens Creek at a cost after by product credit of approximately $6 per silver ounce and 3 million ounces from the Lucky Friday at a cost after byproduct credits of approximately $9 per silver ounce. We expect companywide gold production of approximately 180,000 ounces with cash at producing 125,000 ounces at cash cost at about $900 per gold ounce. Capital expenditures excluding capitalized interest should be about 150 million which is about same that now we had in 2013, and we expect pre-development exploration expenditures to be combined at 18 million this year, reduction of about 50% over last year’s level. And finally, we plan on standing with an adjusted EBITDA which should allow us maintain our strong financial position. When we look at our growth file we expect to produce 17 million ounces silver equivalent ounces in 2014 which should achieve is 165% higher than the 6.4 million silver ounces in 2012, which effectively achieve three years or earlier silver production goal set two years ago. Now, I am going to turn the call over to Jim for the fourth quarter yearend financial results and talk about our strategy and maintaining financial flexibility. Jim?
Jim Sabala: Thank you, Phil. As Phil indicated in his opening remarks, we had a number of initiatives going on during the course of 2013. The dramatically increase both our silver and gold production. As note on Slide 7, you can see our silver production increased from 1.9 million ounces in the first quarter consistently to 2.5 million ounces in the fourth quarter. This was the result of exemplary performance by Greens Creek operation and by Lucky Friday coming back on the stream. In addition, our gold production increased 344% from 13,700 ounces in the first quarter to 47,100 ounces in the fourth quarter which is primarily the result of our acquisition of Aurizon Gold Mines Limited on June 1 of this year. When we acquired Aurizon we knew there are number of areas at the mine that we believe we can improve upon and as a result of the work by staff at Casa Berardi mine and the Hecla technical team has been working nonstop at Casa, we are pleased that we achieved the dramatic production improvements during the course of the year and reduced operating cost as outlined in our press release this morning. Now that we have three contributing mines and excellent mining jurisdiction, we see the benefit of our jurisdiction, diversification. When you compare our revenues stream for the fourth quarter of 2012 to 2013, you can see the base metals have dropped to 27% revenues from 32% in the previous year. And our precious metals production has increased from 68% revenues to 73% in 2013. As Lucky Friday continues to contribute for an entire operating year and is Casa is under full ownership, we would expect this trend to continue. Likewise, during the course of 2012 we were down to one operating mine. Now we can see that we have three solid performers again all located in North American mining jurisdiction. In addition, we have an active hedging program which seeks to significantly reduce price risk associated with our base metal production. As shown on Slide 9, silver operations continue to deliver on strongest margin in the industry with a realized cash margin in 2013 or 68% of our sales or $14.44. Cash cost remain at the low end of spectrum for our industry. As a result of improved performance and additional diversification we also saw dramatic improvement in quarterly cash flow during the course of 2013. On Slide 10, you can see that we had operating cash flow of $11.4 million in the first quarter, during the second and third quarters we had negative operating cash flow as a result of cost associated with the acquisition of Aurizon and the initial startup of Lucky Friday. However, in Q4 we achieve nearly $22 million in operating cash flow. This result flow is vary quarter-by-quarter due to the timing of certain working capital adjustments, but as you can clearly see in spite of decrease in silver prices the company recorded excellent operating cash flow. As we have previously communicated one of our goals during 2014 is to operating within our adjusted EBITDA. During the course of 2013, we were able to reduce our discretionary expenditures and marked by our business plan in accordance with changing metal prices. This is one of the reasons why we reported improving results during the year. As prices change we reduced capital, exploration and pre-development expenditures. Slide 11 shows a cash bridge for the fourth quarter and you can see that we believe we have more room to account in the event of metal prices would move lower. So as depicted on Slide 12, we finished the year on the back of strong operating results with the contribution of three long-lived mines and excellent liquidity. We finished the year with $212 million in cash and cash equivalent. In addition, as reported in our press release this morning, we’ve reached a renegotiated a new revolving credit agreement with our bank group. The purpose of that amendment was to increase the life of that agreement and also to reduce both drawn and un-drawn pricing which is the reflection of the company’s strong credit profile. Consequently we have over $300 million in total liquidity available to the company. And with that I would like to turn the call over to Larry for review of operations during the fourth quarter and full year. Larry?
Larry Radford: Thanks, Jim. On the operating side I am very pleased with the Lucky Friday ramp up has gone since the mine restarted operations in February. Slide 14, shows the quarterly ramp in production and the associated cash cost over this period. It is no small feat to bring all six mining fronts into the normal production cycle and we achieved that in mid-September averaging a historical production rate and this production rate continued through the fourth quarter until we are reaching in December. Production went from 120,000 ounces in the first quarter to 220,000 in Q2, 480,000 in Q3 and 770,000 in Q4 for a total of 1.5 million ounces. Ramp up is not went without its challenges however and was about eight weeks late at yearend beyond where we expected to be as a result of added state of the art grounds port to the rehabilitation extended down time in the silver Shaft 23 result and delays in gaining access to the very bottom of the mine. During the very cold weather in December a frozen phase delivery line shutdown the mine for 10 days leading to lower production and higher cost than expected. The cause appears to be a frozen breather pipe which was not installed properly. The issues rectified and measures are in place to prevent the pipe freezing again. Mine reach is year-end goal of cash cost after byproduct credits per silver ounce of 950 in November, a month early. On the 4 Shaft project on Slide 15, we are currently working on shaft station on the 6500 level. The second and four Shaft stations that were allowed to loading and unloading of many materials once the Shaft is operational. We are on track for completion of this 215 million budgeted project in the 2016. The 4 Shaft project is designed give us access to higher grade Aurizon potential increasing silver production at Lucky Friday to 5 million ounces per year as during 2017. On Slide 16, Greens Creek had another consistent quarter producing 1.8 million ounces at a cash cost after byproduct credits per silver ounces of $5. 2013 production totaled 7.4 million ounces of silver at an average cash cost after byproduct credits per silver ounce of $4.42. Capital expenditures for 2013 at Greens Creek were $57.1 million. I am pleased with CapEx programs and the improvement initiatives at Greens Creek. We are focused on improving safety performance, improving an equipment reliability and utilization, improving the training of miners, implementing zone mining, improving mine reviews, reducing turnover, better defining the orebody and improving ground control. These initiatives have been targeted to improve consistency in operations. Also the plan expansion of the Greens Creek tailings facility continues to work its way through the permitting process and we are happy the progress to date including receiving a Record of Decision in December. On Slide 17, Casa Berardi has produced 62,532 ounces of gold since we acquired it on June 1, 2013. During that time we have been busy integrating the Casa Berardi technical team with the Hecla Corporate technical services team. This integration is focused on rebuilding the long-term mine plan and in better structuring the ground control program to help the mine reach its full potential. As with Greens Creek and Lucky Friday, goal is to improve safety performance and ensure consistent operations and to optimizer cost per ounce margins. You can see a nice ramp of 40% from 23,000 ounces in Q3 to 32,000 ounces in Q4, and we are pleased to see a 23% reduction in cash cost over this period. I think fourth quarter is going to give us a glimpse of the performance we expect the mine will show us going forward. We continue to work on our planned to optimize its operations as it undergoes a transition from mining zones west of the mine, the West mine Shaft to mining zone east of the Shaft. We have brought first of these zones the 118 zone into production. Capital expenditures in 2013 were $ 41.3 million at Casa Berardi. On Slide 18 you can see some images from the Shaft deepening project at Casa, the project that was originally started by Aurizon a deep in the west mine shaft by 340 meters requires approximately another 50 meters of construction. And Shaft loading facilities to be completed. This project is expected to provide an additional access to the 118 zone and to enable deeper exploration. We expect Shaft work and loading pocket to be finished late in a third quarter. The new phase fill facility is undergoing commissioning and had its first pour on November 5, 2013. This phase plan should help increase the efficiency of operations by allowing the mine to cycle its active stopes faster as the setup time the paste material requires is much less than the traditional [cemented] approach. I’ll turn now call over Dean for exploration and pre-development.
Dean McDonald: Thanks, Larry. Even with reduced exploration expenditures in the fourth quarter we had active programs underground at Greens Creek, Casa Berardi and Lucky Friday, and on surface at San Sebastian. Those results have been summarized in a standalone press release entitled Hecla reports record silver and gold reserves that contains an extensive Q4 as a table drilling that we released yesterday afternoon. Go to Slide 20, as Phil mentioned earlier, we have record high silver and gold reserves this year up 13% to 170 million in a case of silver, and up 190% to 2.1 million ounces for gold. On Slide 21, you can see the current proven silver reserves at Lucky Friday and Greens Creek 3.7 million tons at 12.1 ounces per ton silver or 45 million ounces. And probably silver reserves are 10.5 million tons at 11.9 ounces per ton silver or 125 million ounces. Gold reserves in Casa Berardi and Greens Creek include 1.1 million tons at 0.17 ounces per ton gold or 186,000 ounces of proven gold reserves and 15.7 million tons at 0.12 ounces per ton gold or 1.9 million ounces of probable gold reserves. The largest increase in silver reserves came at Lucky Friday due to the inclusion of definition drilling which upgraded areas of inferred to indicated resource, and with the advance of mine design and planning at the lower and upper limits of the mine allowed incorporation into the life of mine plan and reserves. We were also successful in replacing the new reserves with additions to the Lucky Friday resource with exploration drilling and updated 3D resource modeling. The large increase in gold reserves and resources comes mainly from the acquisition of the Casa Berardi gold mine last year. We are pleased to note that our resource levels remained relatively stable despite lower in metal prices as it our reserves at Greens Creek in Casa Berardi. As exploration success offset mine production and upgrading of resources to reserves for the year. Slide 22 is an interesting chart. 10 years ago we only had 45 million of silver reserves. Today with just under 170 million ounces of silver reserves and about 100 million ounces of silver mine during that period. This means we have discovered and acquired over 225 million silver ounces during the past 10 years. Discovery is the first step in creating value for shareholders and our efforts have done that. I believe we will continue to convert resources to reserves & find more replacement resources at our operating mines as well as our predevelopment and exploration properties. With that I’ll pass the call back to Phil to offer some closing comments.
Phil Baker: Yes, so let’s go to Slide 23, thanks, Dean. Given the year Greens Creek is had I want to focus on what it has done over its mine life because it’s illustrative of big value Hecla’s mines? All three are like Greens Creek and they have long mine life with low-cost and can withstand low prices. Over the past 26 years Greens Creek mine life has generally hovered around 7 to 12 years and today it’s just fewer than 10 with increasing resources we expected to be longer. With the long mine life and low cost Greens Creek has been able to generate significant free cash flow almost $900 million. And there is two points I would like to take away from the Slide 1 is just how good Greens Creek is. Second, we believe the Lucky Friday in Casa have a similar value proposition which is what attracted to us Casa in the first place. If 2014 has lower metal prices then these mines should generate enough cash flow to maintain production, but if prices increases we expect then the mine will generate significant free cash flow and like Greens Creek as we explore and operate we expect we’ll see mine life extensions or better reliability or lower cost, in other words value for shareholders. If you go to Slide 24, just a few concluding comments Hecla is really is a transformed company. We are looking forward to a full year of Lucky Friday in Casa combined with Greens Creek. We have a reserve base that should allow production or margin growth and we have financial flexibility. And I believe 2014 is going to be good year for Hecla whether prices are low or higher. But since the beginning of the year we’ve seen metals prices rise, rise is more than justified given the physical demand in the East for precious metals and all the economic uncertainty in the West. And I hope you’re investing in Hecla with all of us. One more point before I end, we are planning an Investors Day in Toronto and New York in early April where you can hear from her mine GM and other technical experts. There is one thing that we heard from the new employees who were employees of Aurizon is there – how impressed they are with the strength of our operating exploration and technical people. And in these meetings and meetings will be webcast as well I believe yes and these meetings – you have a chance to see and hear about for yourself. And with that Denise, if you’ll open the line for questions. Question-and-Answer Session
Operator: (Operator Instructions). Our first question comes from John Bridges with J.P. Morgan. Please proceed.
John Bridges – J.P. Morgan: Good morning, Phil. And just wondered with the increase in reserves. I know you toyed with the idea of increasing the size or change in the plant at Lucky Friday in the past. Does the increased reserve facilitate that you know what the time line might be on working on that project.
Phil Baker: Well, John, the first step is going deeper with 4 Shaft. We are very close to our constraints with respect to ventilation and wasting of the silver Shaft so let’s first get the 4 Shaft in place, when we do that we will get deeper, will be able to process was higher grade material. And we are working on how we might increase production from the 350,000 or so tons a year to maybe as much as 500,000 tons, but that’s where in the early days of that sort of analysis. Larry, anything to add?
Larry Radford: Yes, our current life of mine plan which the reserves are based on, require some small modifications, the addition of a pebble crusher but as Phil says looking to the long-term, we are looking at expansion and what that will take, in the mill, we take the addition of a very small SAG now.
Phil Baker: One of the things we are doing to improve hoisting capacity is we have done some of the initial setup for putting and chipping hoist, we took advantage of when we had to shaft down to brought us the shaft and set up things that surface for chipping hoist so that would be one of the constraints that we have that we’ve already started to make modifications to be able to address.
John Bridges – J.P. Morgan: And the implication of having a chippy hoist in there?
Phil Baker: It’s basically you have the dedication of the existing hoist to mark and you use the chippy for men materials.
John Bridges – J.P. Morgan: What would that set your capacity up to?
Phil Baker: I don’t know. Larry, any sense of –
Larry Radford: Well, it will take us up to roughly 400,000 tons a year, but it’s a work in progress that’s not an approved project yet. So we are we are pursuing it as something that we want to get in front of the Board.
John Bridges – J.P. Morgan: I’m not so encouraging you to go off on a massive expansion program. I’m just trying to get a sense as to what’s possible. And how would work at Lucky Friday, the Star project, whatever, compare to what you’re doing at Creek and down in Mexico?
Phil Baker: Well, the work at the Lucky Friday is an existing operation where the capital has been largely sunk in you got this big orebody in front of you and one that seems to be getting larger. In the case of San Sebastian and Creek, the same one project, I mean those are both things that require new capital and new set of risks. So we are cautious about that, we are moving at a deliberate pace but we are not getting ahead of ourselves, and the real objective we have at San Sebastian is trying to figure out how we might be able to bring that into production with less capital in order to improve its returns. That’s been what the focus has been for the last I would say six months and that’s really what the plan is for 2014, our engineers – we are doing some additional surface work to the northeast of the existing middle vein and Francine veins where we think those veins have been faulted off, but we are in the early stages of that to see if we have an orebody sort of changes what with the outlook looks for this. We are very optimistic but we are just mindful of fact that metals prices have declined and we are not going to get ahead of our skis in moving those projects forward and keep our financial flexibility. We are going to maximize the assets that we have that are operational.
John Bridges – J.P. Morgan: Yes, that’s great. I just wanted to gin up the model. And then finally maybe the interruption of 10 days in the quarter – does that mean the pipeline is a bit dry running into Q1? Does that mean Q1 is going to be a bit weaker at Lucky Friday?
Phil Baker: Larry, I’ll let you –
Larry Radford: It is spill over into January so I doubt we are going to make back shortfall that we had in January. It certainly did, it will affect Q1.
John Bridges – J.P. Morgan: Okay, that’s great –
Larry Radford: It’s not real meaningful impact I mean we are talking 10 days sort
Phil Baker: And it certainly will not affect our guidance for the year.
John Bridges – J.P. Morgan: Okay, perfect. Congratulations on the reserves. Well done, guys.
Operator: Our next question comes from the line of Trevor Turnbull with Scotia. Please proceed.
Trevor Turnbull – Scotiabank: Hey, guys. I was curious about the reserve additions that you had at Lucky Friday. You had a nice bump in terms of the ounces. And I was reading that this material – some of the additions seem to be from the intermediate veins. And I was wondering if that’s why the grade was off a bit. Is it that those intermediate veins are a bit lower-grade than the 30 vein? Or is there a bit more dilution that you have to factor in? Or how did that work out?
Phil Baker: I think it’s really both, I guess vein characterize, Trevor, you are correct in your assumptions, the intermediate veins in general are lower grade than the 30 vein. The other modification that’s occurred in the last year is that we’ve gone from conventional mining of some of those intermediate veins to mechanized mining, and with that comes additional dilution. So those are impacting the grade.
Phil Baker: And mining those intermediate veins really provides the geotechnical, effectively a barrier for the stresses on the 30 vein and so we will able to manage the ground much better with that intermediate vein mining that we do it, it create just stress shadow for the 30 vein.
Trevor Turnbull – Scotiabank: Yes, okay. Understood. I guess the other question is that as you get deeper into the higher-grade material that you’re looking to access with the 4 Shaft – that material as it gets drilled off – say from resources up into reserves – I’m just wondering how we should think about that kind of resource to reserve conversion in terms of the grade changing. Because it seems like the grade for the measured and indicated and the inferred is a fair bit lower than the reserves. And if maybe Dean could just explain how, as you tighten up that drilling, do you expect those grades to pop up?
Dean McDonald: Yes, Trevor, probably that the best way to describe it is really separating 30 vein from intermediate veins. When infill drill with 30 veins, the tendency is that for grade to stay or actually improve within fill drilling. Sometime the opposite with the intermediate veins and so that’s dichotomy with our infill drilling. 30 veins often will improve the intermediates; it depends on which vein when you’re dealing with.
Phil Baker: And the other thing it realizes that resource and I don’t have the number right in front of me but the resource is largely the intermediate veins rather than 30 veins. And to give you a context, it looks like about 15% or so of the resources the 30 veins, so the other 70% is that those lower grade intermediates. So we think as we drove the 30 veins its grade will go up, and it will have those resources in the intermediate veins, some of which over time will be moved into that stress shadow, and will go into the reserve and so that will bring down the future of the grade that we add. And then we will have those other intermediate veins that will be there for the long-term, either higher metal metals prices or at the end of mine life.
Trevor Turnbull – Scotiabank: Okay. And I guess the last question on grades and resources, just doing a quick scan of Greens Creek and how resources there – not reserves, but the resource grades – had really popped up this year relative to last. And maybe if you just had a comment on that.
Larry Radford: Trevor, we are adding the most resources are in the Deep 200 South and the Northwest Bench, and both of those areas have very high precious metals. Northwest bench also carries high base metal, so that’s changing grade that you are seeing is a reflection of those two zones in particular. So in both of those zones are open and will be drawing then this year.
Trevor Turnbull – Scotiabank: So I haven’t had a chance to do the math but when you look at all of the metals involved, there’s a pretty good pickup in terms of the total NSR of those resources, as well as just in the precious metal grades?
Phil Baker: No, I think there of course it becomes function of what price assumptions you have for the lead and zinc. If you follow that market that things look pretty optimistic for higher prices and both those metals. So Jim you want to add something.
Jim Sabala: Well, the only thing I was going to add that is – the other thing we keep in mind is when we did our reserve reports, silver for example we did a $20 which is way below the three-year trailing average that a lot of companies are still using. We just felt that that was prudent given the price action that we have seen in the metals. And so the work has been done on reserves and resources becomes doubly underscored when you realized that we handicap their underline metal prices three year trailing average.
Trevor Turnbull – Scotiabank: Yes, that’s a good point. All right, thanks guys.
Operator: Our next question comes from Andrew Kaip with BMO. Please proceed.
Andrew Kaip – BMO Capital Markets: Look, I just have one question. Just on a go-forward basis in 2014, can you give us a sense of where your depreciation is going to be on a corporate level?
Jim Sabala: Yes, Andrew, it would be very close to where we were with the fourth quarter and the reason I would say that is because we have Lucky Friday back at full production, Casa in full production and Greens Creek so if you use our Q4 number level it will be a pretty good indicator going forward.
Andrew Kaip – BMO Capital Markets: All right, that’s great. Thank you very much.
Operator: (Operator Instructions). Our next question is come from Joseph Reagor with Roth Capital Partners. Please proceed.
Joseph Reagor – Roth Capital Partners: Good morning, guys. I have two questions for you guys. First one is – at Casa Berardi, you guys had postponed the expansion there. What’s the availability currently at the mill? What percentage are you guys currently using of the capacity?
Phil Baker: The mill is more than capable of 120 – 100 tons day so we’re way under the mill capacity at Casa so I think you’re referring to the open pit expansion, is that your first – .
Joseph Reagor – Roth Capital Partners: Yes
Phil Baker: We are currently at what 2000 tons a day and plus nine half and 2800 is the sort of nameplate but there’s probably even more capacity above that. And with respect to the pits, we do see that the focus should be on continuing to expand the underground continuing to see if we can put the higher grade underground material, and we are continuing to work on the pits, but it’s not the priority. So when you think about Casa, so think about is 125,000 to 150,000 ounce producer and when we come to a conclusion as to when the pits end the production then we will give you guidance on adding to that total.
Joseph Reagor – Roth Capital Partners: Okay. Following on that idea then is it possible you guys would look outside the company for local deposits that are high-grade underground sources of ore where you could use to fill the extra, call it, 800 to 1000 tons?
Phil Baker: Yes, I think so but it is pretty remote and finding things that it could truck to it. Jim, just reminds me of you got fail –
Jim Sabala: Yes, one area that in fact we are drilling there now is the sale project in northwestern Québec about 80 km – 100 km as the crow flies to Casa Berardi. There’s a small resource there at this point, that’s the possibility of – there are some resources in the area around Casa Berardi but I can’t say we are in advanced discussions with anyone.
Phil Baker: Which is not – frankly at the moment it’s not priority but you bring up good point is an opportunity for us in the future. We just see a lot of opportunity at Casa to make improvements in and I try to just highlight for you. We think there are some recovery opportunities; we think there are some improvements on dilution and on development where we don’t have those developed far enough to be able to articulate what the impacts will be. But I think what within the next two quarters, Larry we should get there so. There is more value there then try to fill the mill. That’s the bottom line.
Joseph Reagor – Roth Capital Partners: Okay. And then one other thing. With the Mexican tax law litigation change, you guys have stopped talking about your project down there. Is that still first in the queue for internal growth? Or is there something else that has kind of moved to the top?
Phil Baker: Well, I think it still first in the queue in terms of something completely new. I do however think that probably Casa has more opportunity to see some growth with the things you just mentioned. And certainly at the Lucky Friday as the opportunity. We are not discouraged by San Sebastian or any other projects that we have but we are mindful of spending within cash, or within adjusted EBITDA. So we said let’s slowdown on those things. We recognize that the hurdle for the Mexican project has risen so we are looking at how do we go in with the lower capital program that can still meet our return needs. But this is not the case where technically there we see a problem with in fact I think generally speaking technically the project that is improving.
Joseph Reagor – Roth Capital Partners: Thank a lot guys.
Phil Baker: Thank you.
Operator: Our next question comes from Zach with GMP Securities. Please proceed.
Unidentified Analyst: Hey, guys, thanks for taking the questions. I just want to just jump to the balance sheet. Because you had a couple of comments I think where were talking about spending within the adjusted EBITDA and then you also talked about the financial flexibility that the new bonds gave you. I guess I am just trying to understand is with three mines now up and running, what your view is on a debt capacity for the business at this point? Number second add on question to that would be, various growth projects you have under what scenario would you actually look at a more debt?
Phil Baker: Well, I’ll Jim take that question.
Jim Sabala: Sure, actually and I am going to take part over then over to Phil, I’ll talk about some general rules that we apply in our capital structure. And a little bit on what we would use for acquisition development. In our general rule that we have at Hecla is that our net debt to EBITDA should not exceed three times. And we are comfortable within that, if you look at the numbers at the back of our press release, we commented about two points – two times I believe for the last year. So we are well within that. We also trying keep our debt at about no more than the one third of the capital structure. Now having said that, that’s when we look at acquisitions and we look at development, we look at the liquidity that’s in the company which is high at $300 million, and given what our coverage is we have some room should we so desire, we are not there yet to investment in projects that would bring on additional strengths to EBITDA. And those would be one of the tests the project has to back its own load. And I believe the same thing would applied for acquisitions while that might be prudent, it clearly depends upon the earnings capacity of an acquisition, and the risk associated with that earnings capacity. So additional debt is not something that we are going to do willy-nilly without earning stream behind us. Phil, you want to add –
Phil Baker: Yes, I will that, that’s fair. Look, it’s taken a lot of time and effort to get to this point where we think we have this sort of financial flexibility. We are not going to and hamstring the company with some extraordinary amount of additional indebtedness, and squeeze us. Jim, did you mentioned about the hedging that we do
Jim Sabala: I did but one of things we take a look at in our base metal deposit of course is we try and take risk out of the model where it is acceptable to our shareholders. And so we’ll have the project going on the last couple years I guess where with regard to the base metals portion we hedge that risk for an extended period of time up to three years, up to 60% of the production. We haven’t gotten near that 60% just because the way the markets have reacted. But we have done in access of $250 million revenue protection there. And that’s a program that we feel allows us to have the debt that we have now, and so again is just an example how we approach the balance sheet.
Unidentified Analyst: So it seems fair and to assume couple of other projects you have going one like the number 4 Shaft and may and may be some development spending and the San vein assets. I mean you will do that within the means of operating cash flow. It sounds like more debt would come with something perhaps bigger like M&A type deal.
Phil Baker: I think that’s right or if we find the ability to advance something beyond what we’re currently contemplating. If for example at San Sebastian we have the success to the northeast and then conceivably we could do something with that, I mean on a project like that but at this point that’s this ranks speculation.
Jim Sabala: And just to follow on up on Phil’s question another old rule is debt financing comes when you have use to proceeds that I can tell you is the high-yield market was improving. We had people beating on our door to high-yield bonds prior to the Aurizon acquisition. And we saw no need to level up the company just for the sake doing that. As we believe there should be a good use of proceeds that would support that before we do it.
Unidentified Analyst: Great, this is very helpful. Thanks, guys.
Phil Baker: We really appreciate everyone being on the call. I think there are some folks that might have some further questions. If you do, please give Mike Westerlund a call we would be happy to answer those questions. Thanks, thanks very much. Talk to you folks soon. Bye.